Operator: Good day, and welcome to the Newtek Business Services third quarter 2008 earnings results conference call. Today's conference is being recorded. At this time, I would like to turn the conference over to the CEO and Chairman of the Board, Mr. Barry Sloane. Please go ahead, sir.
Barry Sloane: Thank you very much. I'm Barry Sloane, CEO and Chairman of the Board; and here with me today is Seth Cohen, our Chief Financial Officer. Before we begin I would like to call your attention if you like to follow the presentation as we go through it we have a PowerPoint presentation that you can find in the investor relations section of our Web site, newtekbusinessservices.com. With that I'd like to ask Seth Cohen, our Chief Financial Officer to read the Safe Harbor statement.
Seth Cohen: Good afternoon. The statements in this slide presentation including statements regarding anticipated future financial performance, Newtek believes the expectorations, intentions or strategies for the future maybe forward-looking statements under the Private Securities Litigation Reform Act of 1995. All forward-looking statements involve a number of risks and uncertainties that could cause actual results to differ materially from the plan, intentions and expectations reflected in are suggested by the forward-looking statements. Such risks and uncertainties include among others, intensified competition, operating problems and their impact on revenues and profit margins, anticipated future business strategies and financial performance, anticipated future number of customers, business prospects, legislative developments, and similar matters. Risk factors, cautionary statements and other conditions which could cause Newtek's actual results to differ from management's current expectations are contained in Newtek's filings with the Securities and Exchange Commission and available through www.sec.gov. Also I need to point out that our Capcos operate under a different set of rules in each of the eight jurisdictions and that and that these place of varying requirements on the structure of our investment. In some cases, particularly on Louisiana and New York, we don't control the equity or managements of a qualified business, but that cannot always be presented orally or in written presentation. I will return this to Barry.
Barry Sloane: Thank you very much. Looking at Q3 2008 today we're going to cover financial results at a snapshot. We will discuss continued positive momentum of growth in our EPP segment, current web hosting initiatives, small business finance initiatives, cost reduction measures, and overall financial review in 2008 outlook that Seth Cohen will give us. Looking at Q3 2008 financial results we are happy to announce that we met previously stated 2008 consolidated pretax loss guidance. And looking at the various different segments, the electronic payment processing segment, came in at $16 million of revenue, or 14% over Q3 2007. Our Web Hosting segment came in at $4.6 million, up 10% over Q3 2007, and our small business finance unit came in at $1.6 revenue, down 40% over Q3 2007. In total, we booked the pretax loss of $2.7 million, which was in the guidance of – previously given guidance of $3.3 million to $2.6 million. Important to mention that depreciation and amortization created a non-cash expense on a quarterly basis of approximately $1.8 million in Q3 2008, and unfortunately, our lending segment clearly adversely affected our Q3 2008 earnings. Company has a strong cash position, equating to approximately $0.76 in cash per share. We had $27.5 million at the end of September 30, 2008, down slightly from 28 million in June 30, 2008. Our Electronic Payment Processing segment continues to do very well, particularly, given what other electronic payment processing providers are experiencing in the market. Our revenue growth was up 14%, over Q3 2007. Our EBITDA margins remain constant at 7.5% for Q3 2008, that's been consistent with our EBITDA margins in Q1 and Q2. The challenges in the electronic payment processing space obviously merchant attrition, particularly with small, medium sized businesses going out of business, as well as margin compression. We are seeing a lot of people being cost conscious – cautious in coming in for rate reviews. Our volumes are continuing to grow, but albeit at a slower rate than they have been growing historically for us. EPP business is a cash flow positive business. We anticipate and forecast about $7 million of EBITDA in the segment. There is tremendous operating leverage in the space we can grow for more portfolios on the existing infrastructure and continue to improve on our margins. It's clearly a significant potential to increase market share given the relationship with our strategic alliance relationships. And we are happy to say that we are remaining to forecast about $7 million EBITDA growth. I think we tightened the bands a little bit for 2008 from $6.9 million to $7.1 million. Our EPP segment also does not have any debt. Looking at our Web hosting segment, we were up in revenues 10% over Q3 2007. Once again, continued growth despite challenging market conditions. Many organizations are looking at how many Web sites they might be hosting. They are reducing that. We're also losing marginal businesses as they are going out of business, and the price environment is very, very competitive. We believe that we're going to continue to invest in the Web Hosting segment to support future growth. We like this space a lot as more and more small and medium size businesses are hosting Web site and really utilizing web hosting companies to support various different business applications. Currently, we are under capacity in our web hosting business where approximately 50% of our NOC center is unutilized. We have begun a – in launch of our wholesale outreach program which is starting to show good dividends, particularly in the sale of dedicated web hosting, and we are forecasting in 2008, EBITDA growth of approximately $6.2 million to $6.4 million. The Web Hosting segment as of the end of the third quarter, September 30, 2008 also has no debt. Looking at our small business finance segment, this clearly has been the challenge for the company historically and was no different this quarter. Q3 2008 revenue declined by 40% to $1.6 million. The primary reason or – attributable for the reduction in revenue reduction was based upon adverse conditions in the current credit environment as well as price deterioration in the SBA secondary market for government guarantee pieces. Management has made a decision to curtail the sale of the government guaranteed portion of the loans until the credit market stabilize, and premium pricing returns to more favorable terms. In the third quarter, the premiums that historically we have experienced in ranges from 107 to 110, with excess servicing as high as 100 basis points over the 100 basis points that we get on servicing the government guaranteed pieces really dropped to levels of par, 101, and 102. This is primarily based upon an abnormality that occurred between the prime rate and LIBOR. As a matter of fact, if you can turn to Slide number 10, you could see the prime rate, which is the line on the top of the chart, it had three month LIBOR and then we actually did a spread to prime. And basically when the Lehman bankruptcy occurred, clearly, there was major issues in the commercial paper market and in the overnight lending market between banks. This freeze we're frankly still experiencing in the credit markets, although the spreads are starting to turn back to normal as you can see those charts are starting to move back up. But given that our SBA loans historically have been spread over prime, and cost of funding in the marketplace is typically funded by investors in the government guarantee pieces by LIBOR, that was basically a buying strike of investors of the government guaranteed LIBOR pieces, and the dealers, or as they are known in the business, pool assemblers are basically full off and almost refuse to bid. So this market for government guaranteed providers almost shut down. As a matter of fact if you look at the SBA statistics, their estimate ranging between 30% to 50% declaration of volume between last year and this year for SBA 7A loans. At the end of September 30th 2008, we held 6.1 million of government guaranteed pieces compared to 1.3 million in the year prior. As we discussed, SBA loans when you create them in the 7A program have two components, the government guaranteed participation which we typically sell and get gain on sale, and the uninsured loans which historically we have put in our books into our GE facility. The SBA 7A program historically has been rate capped. So you can create a loan at no greater than prime plus 2 3/4. It makes it very difficult for us to participate in this government guaranteed program where basically you cannot increase the rate to float it to a full market rate and what we should of talked about is if you are a below piece and you want to borrow under the SBA category under the SBA program you could basically get money at 7.5%. We all know that very large companies like Goldman Sachs and General Electric borrowed money from Warren Buffett through preferred stock and equity at 10 plus percent plus an equity kicker. So you can understand the analogy of how difficult it is for us to participate in a government program, with the most we can charge a borrower is 7.5 and these huge companies historically have been AAA credits they are borrowing money at much higher rates. Bottom line is it just doesn't work. On a positive note, Washington, particularly, the SBA, and with Congress's help has made some changes to the 7A program. There is a new LIBOR-based loan that has been unveiled. It will enable entities like ourselves, approximately, about the middle of November, I think the date is November 13th to start offering a loan, which will be indexed at LIBOR plus 3, and then you put the spread on top. That is very, very beneficial for us to be able to hopefully offer these securities and hopefully they will be an investor demand or appetite. Obviously, it's still too early to tell and the Street is still working off the excess inventories. We do not expect this condition, really to clear, as it appears that most financial institutions today are trying to keep as much cash on their balance sheet all the way through the end of this particular year. Our current relationship with GE who provides us with our funding facility for SBA business is constructive, although we do need to mention that we have recently incurred a default. There is information that is present in our Q for the quarter, and this is a non-monetary default, which at this point in time GE has not told us anything different than to continue business as usual. Obviously, I think it's important for us to note this to the marketplace, and we're optimistic and hopeful that we'll be able to work through this particular issue with GE. Looking at our future, in the small business finance space, I should add that we still have all of our other programs up and running, accounts receivable finance, merchant cash advance. We will very shortly be announcing a Newtek Business Services business credit card. So we believe that the finance segment of the market is really important to small business. We – I think it's important for us to have this product in our segment and we still believe it is a very good opportunity in providing loans to small business market and our activity in the 7A market, which we view as a suspension of activity should not be viewed as the fact that we do not – we have written-off this sector or don't like it. As a matter of fact, the Company is actively bidding on SBA servicing and subservicing contracts in very big size. We've got terrific lending infrastructure, we have a lot of funds and asset managers that are coming to us to partner as loans are going to be coming out of banks in pretty big size. They need the infrastructure that we have to underwrite, service, and collect. I made a bullet point here. Are we or will we be the last man standing? We certainly hope so. We have a lot of equity in our small business lenders. We do have current liquidity to meet our needs to keep our infrastructure going. And we think that although the lending segment is clearly the most decimated segment in probably the U.S. economy today, we think this actually may offer the best opportunity for our shareholders and the company. Cost reduction measures. We continue to look at cost reduction and we have made significant cuts at the holding company. We have currently made cuts that we can account for, which equal to about $2 million in cash savings in 2009, and if you actually take a look at our third quarter 2008 corporate expenses, we are able to reduce them by $855,000 from the third quarter of 2007. I believe that the Company will continue to tighten its belt in various different areas or looking at different types of facilities and nonessential expenditures, where costs can be cut, where people are not involved in the ability to keep the core businesses running. So we're very optimistic about the core businesses. We do think that there are more expense reductions that can be had across the different segments, and we're going to continue to analyze that to be able to drive positive cash flow on a consolidated basis through our operations in 2009. What is our growth strategy going forward? We are looking at acquisitions within our footprint, without debt on our balance sheet in the EPP space and the hosting space. We look towards utilizing our balance sheet and strategic partner financings to help grow our business and use our infrastructure. We're actually getting some pretty good traction, and we have had people that are offering us funding to be able to make these acquisitions as we speak. We're going to continue to emphasize cross-selling and cross-marketing into the customer base. Brian Flax, our SVP of Business Service Operations has begun to roll out our cross-marketing and cross-selling strategy down in Brownsville. He is having some progress with that. We are continuing to grow our alliance channels and the outsourcing of our services in today's environment is particularly attractive to banks and community banks and credit unions. As these large financial institutions are pretty much getting rid of anything that's not core, ancillary services that they might have done in the past, whether it's small business lending or electronic payment-processing, they are looking to outsource that to other participants but to make sure their clients get service. We serve a very vital role as an outsourcing provider, particularly to financial entities that really need to narrow their focus and really deal with their core products. We believe there we will continue to improve our cash flow, and we've had good results in the third quarter with respect to cash flow. We think the fourth quarter will be pretty good despite the slowing of growth and we do anticipate improved cash flow in 2009. And with that, I will turn the financial review over to Seth Cohen.
Seth Cohen: Thank you, Barry. In the third quarter of 2008, we recorded a loss before benefit for income taxes and discontinued operations of $2.7 million as compared with a loss before benefit for income taxes and discontinued operations of $4.6 million one year ago. Although the third quarter 2008 loss was expected in that previously stated guidance, the segment components of the loss differed from guidance. Small business finance performed worse than expected due to credit market destruction, while corporate activities performed better due to cost cutting. Net loss is $2.7 million or $0.08 per share in the third quarter of 2008 compared to a net loss of $4 million or $0.11 per share in the third quarter of 2007. Revenues increased by $1.2 million or 5.1% to $24.2 million in the third quarter compared to prior year. This is primarily attributable to growth in our electronic payment processing and web hosting segments. We would now like to review the performance by segments. If you could turn your attention to Slide 17 in the PowerPoint presentation, you will see the comparison of third quarter 2008 versus our results in the third quarter of 2007. Electronic payment processing segment revenue increased by $2 million or 14% to $16 million in the third quarter of 2008. Revenue increase is predominantly due to organic revenue growth of 13%, which resulted from a 14% increase in the average number of active processing merchants offset by 1% decrease in the average monthly processing volume per merchant. Income before taxes increased 21% to $1.1 million over the third quarter of 2007. However, third quarter 2007 results reflected a $300,000 charge back expense to a single merchant. If the comparison purposes this charge back loss is eliminated from the 2007 period electronic payment processing cost, the income before income taxes would have decreased year-over-year reflecting that the margin of revenues, less electronic payment-processing costs declined approximately 3% from 21% in the third quarter of 2007 to 18% in the third quarter of 2008. Our Web Hosting segment revenue increased by $417,000 or 10% in the third quarter of 2008 to $4.6 million due to the organic growth of hosted sites. In the third quarter of 2008, we increased our average number of monthly Web sites by 9% over the same period of last year. Dedicated sites continue to grow at about 20% year-over-year, but the rate of growth in shared sites has slowed to about 7% year-over-year. We saw an increase in income before taxes of $581,000 to $898,000 in the Web Hosting segment in the third quarter of 2008 compared to the third quarter of 2007. This increase was a result of the growth in revenues and the decreasing expenses thereby increasing our operating margins. Period-over-period increase in pretax net income reflects the elimination of duplicative rent, electricity and communication costs incurred in the third quarter 2007 while transitioning to the new data center. Small business finance segment revenue for the third quarter of 2008 decreased by $1.1 million or 40% to $1.6 million compared to the third quarter of 2007. Revenue declined primarily represents foregone premium from our decision not to sell the guaranteed portions of loans in the secondary market. Premiums remain well below historical averages during this time of turbulent credit markets. As previously discussed the reduction in the prime rate upon which our loans charge interest and – interest and decreases in servicing income both from our portfolio as well as that of another portfolio we service also contributed to the reduction in revenue. We believe that the premium for the guaranteed portions will improve as the spread between LIBOR and the prime rate return to previous levels. The reduction in revenues primarily contributed to the $1.5 million loss for the quarter, an increase in loss of $1.3 million over the third quarter of 2007. In addition, reductions in salaries and benefits and interest expense were offset by increases in the provision for loan losses and other general and administrative costs for this segment. For the third quarter of 2008, revenues in the Capco segment increased by $185,000 or 12% for the third quarter of 2007. Pre-tax loss decreased to $1.4 million or 52% compared to $2.9 million in the third quarter of 2007. Reduction loss primarily reflects our adoption of fair market value accounting for this segment this year. For the third quarter of 2008, revenue in the all other segment decreased by $304,000 or 43% compared with the third quarter of 2007. Primarily due to reduction in other income resulting from the recognition of greater gains on sales of investments in 2007 versus 2008. As a result the loss in this segment increased by $271,000 to $575,000 period-over-period. In the third quarter of 2008, corporate activities which generates revenue primarily from management fees from the Capco segment recorded revenue of $1.2 million or a 54% increase from one year ago. This increase is primarily due to the recovery of management fees from one Capco totaling approximately $220,000 in the third quarter of 2008. Management fees are expected to decline in the future as Capco's mature and utilize their cash. Our efforts to reduce cost resulted in an $855,000 decrease in expenses versus the third quarter in 2007. Combined with the improvement in revenues the corporate segment improved its loss to $1.2 million compared to a loss of $2.5 million in the third quarter of 2007. Finally, please turn to Slide 19 and 20 to see our revised fourth quarter and full year 2008 guidance. I would like to highlight some of the changes from previous guidance. We now expect consolidated 2008 full year revenues to be between $99.3 million and $100.1 million, a reduction of $900,000 to $1.4 million from previous guidance. Primarily reflects the shortfall in electronic payment processing in small business finance revenue, the nine months to-date, and reduced fourth quarter revenue expectations in those segments. Revenues in electronic payment processing for the fourth quarter of 2008 have been reduced $1.3 million to $1.5 million versus previous forecast, reflecting the slowing of the economy. We will expect this segment to show growth over the fourth quarter of 2007. The new fourth quarter forecast for small business finance assumes no sale of the guaranteed portions of loans as well as a reduction in lending activities. This reduced previously expected quarterly revenue by $900,000 and contributed to the expected increase in the loss of $1 million. The expected consolidated 2008 loss before benefit for income taxes now estimates to be between $11.3 million and $12.1 million. Narrowing of the expected loss to the inferior end of the band primarily demonstrates small business finances losses to-date and those expected for the fourth quarter. (inaudible) in the expenses of the corporate segment as a result of cost charting initiatives will slightly offset the expected losses in the small business finance segment. I would now like to turn this back to Barry.
Barry Sloane: Operator, that concludes our presentation and we certainly would open up the call to questions.
Operator: Thank you, Mr. Sloane. (Operator instructions) And we will take our first question from Steven Silk with C. Silk and Sons. Please go ahead.
Steven Silk – C. Silk and Sons: Good afternoon. Barry, I'm interested in your competitors and where you fit in as far as the electronic payment processing in the web hosting in the sense of are there, are there fragmented groups, small companies that might be having difficulty going on in this environment in their perhaps ways to pick up business, maybe out of bankruptcy or extremely discounted prices so that you could start adding to capacity?
Barry Sloane: I think, Steve, that this has been a market that a lot of participants have gotten into because it's – there's just been such a huge grounds well of growth that was just organic based upon more utilization of cards and merchants accepting cards more and more. And I think a lot of our competitors created a business and borrowed and grew the balance sheet through debt. Some of them are really having tremendous difficulties right now because the portfolios aren't growing with same-store sales, sales are shrinking. And, (A), they are having attrition through merchants, (B), the volumes are less. And we think there is going to be opportunities in working with lenders where we can pick up those portfolios, add them on to our existing infrastructure, take them over and being able to service them, so maybe able to do acquisitions that having the right check, but basically to service the debt based upon real good solid forecasts of reduced expectations and cash flow coming in. We think that could be the same in the hosting business as well. There are – as difficult as the market is today, there's still money. It's not like there is zero money, it's just rare and expensive. So if you can price assets at the right price, and the prices aren't very pretty, because this is – we are in a deflationary environment. So asset valuations, in all segments of the market are coming down. That's why we're seeing stock prices down 40% to 45%, real estate prices down, so we think that this is a good opportunity to take advantage of the asset deflation and add these types of portfolios on in the hosting space as well as in the electronic payment processing space on to our infrastructure that is very efficient, very cost effective and scalable.
Steven Silk – C. Silk and Sons: I haven't noticed stock prices were down and real estate was down. I'll have to look in to that. What –
Barry Sloane: (inaudible)
Steven Silk – C. Silk and Sons: In the environment that you're in and the difficulty you're in where the price of the stock is, and the valuation, at some point, do you think somebody would come to you with the client – client base that you have and – do you look at yourself as a potential to be acquired, or maybe are you looking at the opportunities of taking the company private to be somewhat under the radar screen while this environment goes that you can be a stronger company down the line without really having to focus on meeting quarterly numbers?
Barry Sloane: I think – I think, Steve, that we have worked pretty hard, although it's not that easy to simplify the company and clean up our balance sheet. As I'm looking at the balance sheet now, I think we're at about $160 million of assets. I could remember not too long – a year ago, it was at 217, so our balance sheet is shrinking. Capco is becoming less of an issue. I think with some of the expenses that we're pairing across the board, I think people are going to be able to look at our 90,000 plus customer base or business account base. I think the number is 93,000, but I'm not 100% sure, and say, hey, these guys have a very good methodology of acquiring customers. When you look at the snapshot of our business service suite, and our insurance portal, you walk away from that and go “Wow! This is a one stop shop for business.” We are now aggressively out bounding to our existing customers and letting them know we are in all these different businesses. We've had these conversations on calls before, we sort of an adamant that we don't want to make those calls, but we actually had the in-house software and technology through a centralized beta base to be able to contact the customer and have the full customer record in front of us. We now have that customer record in front of us. So we're contacting customers lately, and we're being extremely well received. “Gee, I didn't know you did that. Oh, really, you do that, you can help me” In this environment calling somebody up and saying “Gee, do you have receivables? We would like to finance them for you or give you a merchant cash advance in your Visa or MasterCard. For that matter let us take a look at your workmen's comp, your general liability insurance, maybe we can help you out, save you money on health and benefits. You are doing business with payroll with ADP or pay checks. We've got a better solution; can probably save you some money there,” very, very well received, so we believe in our strategy. We believe in our structure, and when you put it all together, we think it's a valuable asset that obviously isn't coming up in the stock price, but we believe will be recognized at some point in time.
Steven Silk – C. Silk and Sons: I agree with that. I assume being able to bundle more services to other clients would allow you to offer individuals at lower prices because you can make it up – hopefully make it up with larger overall sales.
Barry Sloane: Well, you get margin pool, and you get more revenue per customer. Customers tend to be a little bit more sticky in that way, so frankly, we think we're just beginning in this downturn to hit our stride, and really perform the rationale for why the Company was created, which is not just to have four, five, six, or seven different disparate businesses working in the market independently of one another, but really are working as a team and as a concept to approach small business customers and say “We understand your business.” When they call in it sound like they're far and we know exactly what they did, who they dealt with in the past, who assembled their loan, who quoted their recent insurance, what their experience was and why they are doing business with us.
Steven Silk – C. Silk and Sons: What is a value added as far as your customer service? That's what you are, right?
Barry Sloane: Well, number one, we're clearly value added in terms of how we have dealt with our customers within each of these divisions and silos. Now customers are finding out that we can do other things for them. And the fact that we did a great job for them in hosting and did a great job for them in EPP, really bodes well for us, asking for the business in the other areas, and customers today are very interested in forthright saying, “Hey, if you can help me, that's great.” Here is my workmen's comp policy, or here is my electronic payment processing statement or gee, you could advance me money against my Visa and MasterCard, I'll take a look at that borrowing opportunity.”
Steven Silk – C. Silk and Sons: Within the lending segment, Barry, can you talk about – well, since you're carrying more loans – generating you're going to carry them through probably longer than you wanted to. How are they performing? Are you seeing any drop-off? Are you still below the level of what the normal SBA lender has been doing? How is that going?
Barry Sloane: I think, Steve, our reserves are approximately – I'm going to say 8.5% against the portfolio. Those are – that's a pretty healthy reserve. We have had an experience in August and September, what I'll say slight credit deterioration. Thank god we look at this pretty closely, October came in pretty well. We've been very conservative in our – in our underwriting. So our loss is in the lending segment, have not – and I'm knocking wood, been because of credit deterioration. Now, needless to say, but all have not been historically, but all of the news that's out there – it does concern me. Our losses historically have been based upon not being able to generate enough volume to cover our overhead and infrastructure. The sad part of it is we were finally in a market where we built up a real big pipeline of opportunities and then the bond market fell apart for the government guaranteed portion. Seth is pointing out our reserves are at 10% at this point in time so I feel pretty good that we're in a good position relative to where – where our loans are, and Seth, the basis of our loans, based on our accounting is, we owe the uninsured what like $0.80 in the dollar.
Seth Cohen: Or less effectively.
Barry Sloane: Yes, so we've used extremely conservative accounting, because when you get the premium on the government guaranteed piece, that gets applied to the basis in the loans, so I have had people say, “Well, gee, in the lending business, how couldn't you book big gains?” But we didn't do what everybody else did which was to capitalize, book the gains on sale, run up the income and sort of leave it there. So we are pretty comfortable with where we are in the marketplace, we are not happy with our stock price, but we think we have built the good infrastructure and a good business for the future, and built the company to last. We have to work our three – work our way through this strange financing market right now, where nobody wants to lend, but I think we'll be okay.
Steven Silk – C. Silk and Sons: What about factoring? I know you were trying to get in to do some of that. Has that been successful? Is that something you could present to your EPP customers where you know that you already have some flow through to the payments where you can pay in advance or they would need it? I mean I would think that would be a beneficial to customers that you already know and have a longer-term relationship with.
Barry Sloane: That's our merchant cash advance business, and – and we are also offering those clients receivables financing. And we're happy with how receivables finance business has grown. We don't report that segment separately, but I do think that's going to be a very good engine for profits and growth going forward. We've just passed a critical point in Newtek business credit, where we're – just crossed over a path to profitability, but I'm very optimistic about our position in the receivables finance business. Wells Fargo was a vote of confidence, and I would assume good business judgment
Steven Silk – C. Silk and Sons: Yes.
Barry Sloane: From their perspective just extended our facility another three years, and kept the facility outstanding at $10 million, so we're happy about that. When people are extending their credit in these markets, you got to be thankful. That's obviously the case with our Capital One line, which is a $10 million line and our Wells Fargo line and obviously our outstanding GE facility.
Steven Silk – C. Silk and Sons: So, just to wrap up I guess if you can kind of keep your head above water in these turbulent times and is it encourage yourself I guess with the customers to be there when (inaudible) of the economy probably should put you on some solid footing when things turn up and lead you to opportunities to grow when your end customer bases start growing as well?
Barry Sloane: Absolutely. Build the business, build the enterprise value, we believe we have done that. We – we have managed our finances, we are not over levered, we are paying our bills, we are growing our customer base, we've satisfied our customers. And way back when people used to want to invest in companies that did that. And then it sort of turned to this earnings per share, debacle which has frankly what's created the problem on Wall Street today. Everyone pressed themselves, they levered themselves, put themselves, with the extent of credit conditions, put themselves in a precarious position without really paying attention to the risk.
Steven Silk – C. Silk and Sons: Alright, Barry, I appreciate the time. I'll leave it up to somebody else to pick up the question. Thank you.
Barry Sloane: Okay. Thank you, Steve.
Operator: (Operator instructions) And gentlemen, it appears there are no further questions at this time. Mr. Sloane, I'll turn the call back over to you for closing comments.
Barry Sloane: Great. Thank you very much, operator. We clearly appreciate the attendance on the call today. We had quite a few people attend. We appreciate your investment and interest in the Company, and look forward to a good fourth quarter and continuing to build the business and do a good job and during tough times. So thank you, everybody. Have a good evening.
Seth Cohen: Thank you.
Operator: Ladies and gentlemen, this will conclude the Newtek Business Services third quarter 2008 earnings results conference call. We thank you for your participation and you may disconnect at this time.